Operator: Good afternoon, everyone and welcome to Associated Banc-Corp’s Third Quarter 2015 Earnings Conference Call. My name is Manny and I will be your operator today. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session at the end of this conference. Copies of the slides that will be referenced during today’s call are available on the Company’s Web site at investor.associatedbank.com. As a reminder, this conference call is being recorded. During the course of the discussion today, Associated Management may make statements that constitute projections, expectations, beliefs or similar forward-looking statements. Associated's actual results could differ materially from the results anticipated or projected in any such forward-looking statements. Additional detailed information concerning the important factors that could cause Associated's actual results to differ materially from the information discussed today is readily available on the SEC Web site in the Risk Factors section of Associated's most recent Form 10-K and any subsequent SEC filings. These factors are incorporated herein by reference. For a reconciliation of the non-GAAP financial measures to the GAAP financial measures mentioned in this conference call, please see the press release financial tables. Following today’s presentation, instructions will be given for the question-and-answer session. At this time, I’d like to turn the conference over to Philip Flynn, President and Chief Executive Officer, for opening remarks. Please go ahead, sir.
Philip Flynn: Thank you and welcome to our third quarter earnings call. Joining me today are Chris Niles, our Chief Financial Officer and Scott Hickey, our Chief Credit Officer. Our third quarter highlights are outlined on Slide 2. Our results reflect higher net interest income, lower fees, and lower expenses. Average loans grew by 264 million in the third quarter driven by residential mortgages and commercial real estate. As we had anticipated, commercial and business loan growth has slowed during the second half of the year. Overall, we’re still on track to deliver high single-digit annual average loan growth. Deposits reached a record level in the third quarter at $20.3 billion. Balances were up 3% from the second quarter driven by strong growth in demand deposits and money market accounts. Our net interest income of $171 million was up $4 million or up 2% from the second quarter. Margin compression was just one basis point and our average loan yields were unchanged from the second quarter. Fee income was lower driven by reduced mortgage banking income and expected seasonally lower insurance activity. Expenses were down $5 million, primarily related to lower personnel and technology costs. We are committed to expense discipline in a revenue constrained environment and we’re pleased to report lower expenses in several categories. We remain on our target capital range with a Tier 1 common equity ratio of 9.39% and we did not repurchase shares of common stock during the quarter. Overall, we delivered net income to common shareholders of $47 million or $0.31 per share and we delivered a double-digit return on average Tier 1 common equity for the fifth consecutive quarter. Loan details are highlighted on Slide 3. Overall, our average loans are up 8% year-over-year. During the third quarter our residential mortgage loan portfolio grew by $247 million on average. Our on balance sheet loan growth has been driven by strong purchased mortgage activity. We continue to position ourselves as the ARM lender of choice in our footprint. In addition to the loans we put on the balance sheet we originated $292 million of mortgages for sale during the quarter. We continue to sell our non-CRA 30 year production to the agencies. The home equity portfolio and installment loan portfolios were down modestly during the third quarter and we expect to see continued run off. I’d like to point out a reporting change relating to our home equity loans. In the third quarter, we completed a loan system conversion. The conversion allowed us to move about $0.5 billion of closed end first lien home equity loans we’ve originated on a legacy system on to our general residential mortgage servicing platform as they’ve similar servicing requirements and risk profiles. As such, the home equity portfolio we report now only reflects our junior liens and revolving lines of credit. We’ve restated all prior periods in the press release tables to reflect this change. There will be no change to our call report. For regulatory purposes we’ve always reported closed end first liens with our residential mortgages. Commercial real estate loans were up $111 million or 3% during the quarter. CRE construction loans contributed to the majority of this growth as projects funded up during the summer months. The CRE portfolio had steady growth throughout the quarter, balanced between construction and investor loans. I’d also like to note that we’re opening a new loan production office in Dallas this quarter. As always when we consider expansion we only make the decision if we can find the right team in an attractive market. We were happy to be able to bring on board two former union bank real estate veterans with over 20 years of experience in Texas. As mentioned last quarter the general commercial lending space is highly competitive. The average commercial and business lending was down 1% for the quarter. We saw declines in general commercial lending, mortgage warehouse and power and utilities. We saw several transactions during the quarter where the returns did not seem to us to justify the risk. Our teams are very mindful of our expectation about delivering appropriate risk adjusted returns. Increasingly we are making tough decisions to pass on deals when we don’t think we’re getting paid for the inherent risk and cross sell opportunities to enhance the return are uncertain. Turning to utilization on Slide 4, the third quarter saw a decline in commercial and business lending line utilization. The lower utilization was driven by lower mortgage warehouse outstandings, lower corporate borrowing and reduced power and utilities activity. As a reminder, the utilization rate is a blended rate of our commercial and special fee lending groups. In the third quarter, the commercial portfolio’s utilization rate decreased modestly from the high 40s. The aggregate utilization of our specialty verticals also declined moderately from the mid 60s. Moving on to Commercial real estate, its line utilization was unchanged at 58%. The flattening trend reflects the maturity of the portfolio. It also reflects the flow of construction fundings and subsequent payoffs. Our construction loans fund up over 18 to 24 months; upon project stabilization customers continue to take advantage of the permanent markets for long-term debt. Turning to Slide 5, we’d like to provide another update on our oil and gas portfolio. Our energy exposure remains low at 4% of total loans. Portfolios balances were largely unchanged in the third quarter. Our oil and gas exposure is 100% reserve secured. We are not in the service or midstream business. We lend to small to medium sized independent companies and 100% of the portfolio is [club or] [ph] syndicated deals. The fall borrowing base re-determinations began late in the third quarter. Lower market pricing led to downward rating migration within the portfolio. As a result, we increased the oil and gas specific reserve to $29 million, up from $26 million. As oil prices became volatile towards the end of last year, we started proactively risk rating the reserving against our loan portfolio. Today we’re carrying about 3.8% in reserves against this book. We will complete the fall borrowing base re-determinations in the fourth quarter as new engineering reports are analyzed. We may see additional negative migration in ratings which could mean some volatility in provisioning. But overall, we remain comfortable with our energy exposure. I’d like to provide a few comments on deposits and funding. Our loan to deposit ratio ended the quarter at 90% comfortably below 100%. During the third quarter we used our increased deposit funding to repay over $1 billion of short and long-term advances from the FHLB. I had previously mentioned that we had record deposit levels in the third quarter. We also recently learn from FDIC data that Associated was the fastest growing depository in Wisconsin by market share. We also grew and gained deposit market share at both Illinois and Minnesota. Our continued focus on the customer experience has allowed us to grow deposits in a competitive and transforming industry. Our commercial deposit customers benefit from our strong A1P1 ratings profile and rely on the investments we’ve made in our commercial deposit platforms. Our retail deposit customers are supported by a modernized branch network and a variety of self service and digital channels. We likely benefit from the fact that our technology platform and offerings are often ahead of the many community banks that operate in our markets. Turning to Slide 6, the overall yield on earning assets decreased two basis points primarily due to compression from paydowns and reinvestment in the securities portfolio. Loan yields were flat during the quarter due to slower commercial growth and less new production dilution to the margin. Our third quarter deposit expense increased one basis point driven by some CD special. The overall cost of funding was unchanged at 40 basis points. We have a low cost funding base. During the quarter we continued to restructure our securities portfolio away from Fannie Mae and Freddie Mac mortgage backed securities and into more Ginnie Mae assets. Over the course of the year we’ve increased our Ginnie Mae’s to over 60% of the MBS portfolios from 24% a year-ago. This shift has resulted in a better liquidity profile while lowering our risk weighted asset measures and enhancing our regulatory capital measures. As we’ve said for sometime now, absent any Fed action we expect modest ongoing margin compression given our overall asset sensitive profile. Our loan margin reflects our high quality and lower credit risk asset strategy. We continue to defend bottom line earnings as higher net interest income helped us manage against this quarter’s fee headwinds. Turning to Slide 7, noninterest income -- fee income was down $7 million from the second quarter driven by lower mortgage banking and insurance revenues. Mortgage banking income decreased $3 million from the second quarter primarily driven by a $5 million net change in the quarter and mark to market of the residential mortgage pipeline. Insurance commissions were down $3 million for the quarter and we remind investors that our insurance business is seasonal. We generate higher revenues in the first half of the year and we expect insurance revenue to be lower in the second half of the year. Our insurance business has been a key driver for our year-to-date noninterest income growth, thanks to the acquisition of Ahmann & Martin. Year-to-date insurance commissions are up about 50% when we normalize for $4 million insurance reserve we took a year-ago. We’ve previously mentioned our shift into Ginnie Mae securities in the third quarter. This activity generated $3 million of portfolio gains which was flat to the asset gains realized in the second quarter. Turning to Slide 8, total noninterest expense was down $5 million from the second quarter. Personnel expense was down $2 million primarily due to lower severance costs. Technology expense also decreased $2 million driven by the completion of several projects. Several other expense categories including business development and advertising, foreclosure, OREO expense, loan expense, legal and professional fees, and occupancy were also down in the third quarter. As we discussed in our last earnings call, we consolidated three branches in the third quarter and we plan to consolidate another 10 in the fourth quarter. And we will anticipate $2 million to $3 million of net closures related charges to come through this quarter. Overall we continue to make investments in our branches and in technology that have managed to hold our expenses flat for the past four years. Tax expense was $22 million flat to the prior quarter. Our effective tax rate was 30% and it hasn’t moved materially. Turning to Slide 9, the trends continue to reflect sound credit quality. Potential problem loans were up $64 million in the third quarter driven by the risk rate migration of a few commercial credits. About $75 million of the year-over-year increase in potential problem loans are from the oil and gas portfolio. Absent this, potential problem loans would have continued to decline. Our nonaccrual loans decreased 8% from the prior quarter. As a result, nonaccrual loans improved to 80 basis points of total loans, down from a 107 basis points a year-ago. The allowance for loan losses was slightly higher than the prior quarter and our allowance to total loans is now 1.42%. Net charge offs were down slightly at $8 million and represented an annualized charge off rate of only 17 basis points. The provision for credit losses was $8 million, up from 5 in the second quarter. As we’ve said previously at these absolute dollar levels a few credits can move the numbers pretty significantly. And with that we will open it up to your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Dave Rochester of Deutsche Bank. Please go ahead.
Dave Rochester: Hey, good afternoon guys.
Philip Flynn: Good afternoon Dave.
Dave Rochester: On the expenses, it sounds like you have some more cost saves coming with the branch closures you’re planning for this quarter. Just wondering how much more reduction do you think you can get from the roll off of projects in the data processing line. And then just given that consolidation activity you talked about, I was just curious if you had any preliminary thoughts on expense trends for next year, since it looks like you’re clearly going to hit your targets for this year.
Philip Flynn: Yes, Dave, this is Phil. So we will provide guidance for next year in January and I will let Chris answer the rest of this specific question, but we continue to be very aware of the trends out there for consumers. And we continue to take a hard look at how our consumers access us. So I don’t know how many more branch closures there could be as time goes on, but we’re clearly getting down to pretty reasonable levels now. We feel pretty comfortable with our footprint and as I mentioned the work that we’ve done to improve the 200 plus remaining branches is largely complete now.
Chris Niles: So just to add a little more color to that we will be closing some additional branches. However, there will be charges that will be incurring in the fourth quarter, so it will actually be expenses incurred in those closures and we will also be moving into our seasonal weather seasons and so you will see an uptick in our snowplow and heating and other costs. So I wouldn’t expect to see a down tick in occupancy, in fact we will probably see an uptick. We do not expect that to have a material impact on other areas per se, but I also don’t think we’re going to slow down technology investment. In fact, to the contrary we’re already contemplating our next upgrade to a variety of systems and I don’t think you will see that come down.
Dave Rochester: Okay.
Philip Flynn: That said we remain committed to the expense guidance that we provided at the start of the year for this year.
Dave Rochester: Got you. Great. That’s good color. Thanks. And then on the capital front, I was just wondering if you could just give us an update on your thoughts there and what you might be looking forward to restart the buybacks eventually?
Chris Niles: I think what we would like to say is we’re in line with where we expect it to be given our overall capital targets at around 7% tangible at a 7.5 leverage, at 10% Tier 1 risk base, 12.5% total very comfortable numbers to operate given the risk profile we have, given our DFAST stress testing and given the opportunities we see they all sort of level that give us comfort that we can grow in our organic means without having to tap additional capital and we see growth opportunities ahead of us.
Dave Rochester: Okay, great. And then just one last one on the energy credit, I was just curious I know that you just started this at the end of the quarter, but what percentage of those re-determinations were done at this point and then how much you see in the price tag come down as you go through those?
Philip Flynn: Scott Hickey can you answer that?
Scott Hickey: This is Scott. We are about -- as of 9/30 we were about 20% through the re-determinations and if you look at the fall oil deck versus the spring oil deck, obviously it’s down more at the beginning and less at the outer years, but on average down about 14%.
Dave Rochester: Okay, great. Thanks for the color guys. I appreciate it.
Operator: Thank you. The next question is from Scott Siefers of Sandler O'Neill. Please go ahead.
Scott Siefers: Good afternoon, guys. Maybe the first one, Chris, would you mind reminding me what the number was on the mortgage mark to market specifically for both the second quarter and the third quarter? I know it’s a $5 million unfavorable dealt but just trying to get at what a good run rate core number is to base off of?
Chris Niles: Sure. It’s about a plus 2 at the end of the second quarter and a minus 3 at the end of the third quarter.
Scott Siefers: Okay. All right. Thank you very much. And then Phil do you mind maybe expanding on the comments on the deposit inflows during the quarter? I think it’s in particular the money market numbers were pretty strong, but -- I mean, just overall deposit really kind of ramped up , so any additional thoughts or color you could add please?
Philip Flynn: Sure. I mean, we’re - we view the ability to gather low cost granular deposits as being perhaps the most important thing we do as a bank and I think it drives a lot of value in the banking business in general, so we’ve put huge effort into improving the customer experience for both commercial and retail depositors here and I think we’re starting to see the benefit of that. We had growth across the board, across geographies and in many different types of deposits.
Scott Siefers: Okay. Okay. And then, I guess final question, you mentioned the Dallas LPO that you opened, I understand the relationship you would have with the Union Bank guys, but just curious for your thoughts I think this is your first foray out of what you might consider the greater Midwest so, is there something that would be sort of a one-off because you had a longer term experience with those guys or is there more of an appetite to do this kind of thing more broadly out of market in certain situations, how are you thinking about that dynamic?
Philip Flynn: Sure. Well, we’ve been very selective. So since over the last five years we’ve opened up LPOs initially commercial real estate LPOs in three cities. We had -- we already had one in St. Louis. Obviously we opened up our oil and gas business in Houston and now we’ve gone to Dallas. So we think about the opportunities to do this based on is it an attractive market and are the right people available and the right people generally from our point of view are people we know that we’ve worked with and who have been in that market for their professional career. So I wouldn’t draw any big conclusions that we’re about to open up the LPOs all over the country. This was another one of those great circumstances where the right people are available in what we think is a very attractive market.
Scott Siefers: Okay. That sounds good. Thank you guys very much.
Operator: Thank you. The next question is from Jon Arfstrom of RBC Capital Markets. Please go ahead.
Jon Arfstrom: Good afternoon.
Philip Flynn: Good afternoon, Jon
Jon Arfstrom: Just a loan growth question. So you kind of touched on a little bit, but can you maybe give us an idea of the in footprint loan growth environment? It seems a little bit slower. I don’t know if that’s right or not, but if in fact that’s the case, your risk appetite, is it the demand side or is it both?
Philip Flynn: Well, there’s generally speaking three legs to our loan growth stool. So residential mortgages continues to be just fine to good, commercial real estate has been a steady grower for us. But general commercial and business lending environment, I would probably -- given what some other banks have reported, I guess, I wouldn’t say necessarily it’s the market. I’d probably attribute it to our, I think pretty firm discipline on getting an appropriate risk adjusted return when we’re risking our capital, and I mean I’ll leave it at that. I’m not going to comment on what other banks are doing because I don’t know exactly what they’re doing. But if we can't see our way to on a relationship basis strong, double digit risk adjusted returns, so including loans and other cross sell opportunities then we take a real hard look at it and are prepared to pass.
Jon Arfstrom: Okay. Can you repeat the potential problem loan number, I think you said $75 million of the increase…?
Philip Flynn: So if you look at -- yes, look at Slide 9.
Jon Arfstrom: 9, yes.
Philip Flynn: Yes, potential problem loans are up to $264 million, keep that in some context, that number back in 2010 you can multiple that by 10.
Jon Arfstrom: Right.
Philip Flynn: So it’s a really low number, of that about 75 of that is oil and gas loans, which have come on over the past call it three quarters.
Jon Arfstrom: And was there anything in terms of oil and gas in there…?
Philip Flynn: I think there was one oil and gas credit that moved, maybe not even that. It was mostly a collection of few commercial loans.
Jon Arfstrom: Okay. All right. And then I guess this question that didn’t come up yet. But just give us your latest thinking on acquisitions and are you seeing things that could make sense and what's the flow like?
Chris Niles: We’ve -- we’re actually more focused right now on opportunities to grow our fee businesses, as we think about acquisitions when you look at the deposit growth we’re generating, and if we can continue to do that, we’re going to have a whole lot of need to pay someone for their deposits if we can continue to grow this way. The FDIC data that just came out from the state of Wisconsin showed us significantly picking up market share from some of our larger competitors and with the biggest market share gain of any bank here and there’s a whole lot of banks there. So we’re doing very well on growing low cost funding, so that the compelling need to go out and think about buying another depository isn’t really pressing today. The Ahmann & Martin transaction worked up very well, we’re looking at opportunities to fill in our insurance business if possible and we’ll look at other key related acquisitions. So I would guess, our focus is probably shifted somewhat away from looking at bank opportunities to others.
Jon Arfstrom: Okay. All right. Thank you.
Operator: Thank you. The next question is from Ebrahim Poonawala of Bank of America Merrill Lynch.
Ebrahim Poonawala: Hi, guys. Good afternoon. Ebrahim here.
Philip Flynn: Go ahead.
Chris Niles: Go ahead. Ebrahim?
Philip Flynn: He must have cut out. Why don’t you go to another question?
Operator: Certainly. The next question is from Jared Shaw of Wells Fargo Securities. Please go ahead.
Timur Braziler: Hi, good afternoon. This is actually Timur Braziler filling in for Jared. My first question also relates to the oil sector. Kind of what's your appetite for lending into that sector right now?
Chris Niles: We disclosed our first agency deal. So we are -- we are dedicated to this space. We intend on being a lender that goes through the cycle. I’m not sure that you know about some of the backgrounds people work here. This was my professional background starting back in 1982. So as a bank that opened up this business four plus years ago it’s all about being a consistent provider of credit to the industry. So we are there, we’re active. Obviously transaction volume is down at the moment but it won't always be that way. This is a cyclical business.
Timur Braziler: Okay, that’s fair. And I guess just from a broader perspective, what's the competitive dynamic like for the loans that do exist today? Are you still seeing the same type of competition or are some of the players started backing away from the space?
Chris Niles: I’m not sure I can answer that. I doubt that anyone is really backing away from the space at the moment. In last year in the service area, you probably haven’t really taken any losses of any significance at this point. Reserved secured lending has proven itself over many cycles for the last decades to be a generally lower risk asset class than a lot of other general commercial lending you do as long as you stick to reserved secured lending and you don’t stray into other related industries.
Timur Braziler: Okay, thanks. And then looking at the securities portfolio, what's the remaining opportunity there to transition until this Ginnie Mae product?
Philip Flynn:
, :
Timur Braziler: Okay. And kind of that perceived notion that we’re going to have lower to longer rate environment here, does that at all change your mind as to the pace or the magnitude of the shift?
Chris Niles: Today we haven’t seen a huge change or variation in the yield, and so essentially it’s a reinvestment decision only. We’re not making a significant duration adjustment through this process.
Timur Braziler: Okay, great. And then just my last question is again on the deposit side, what was the growth between new and existing clients, as much of its coming from new accounts or are existing clients also adding for deposition?
Philip Flynn: Yes, it’s a mix across, I don’t have those, that breakout for the quarter per say. But we’ve clearly seen some new corporate additions, those have been very well received and helpful, but we’ve also got general growth in our average account size.
Timur Braziler: Okay, great. Thank you.
Operator: Thank you. [Operator Instructions] And the next question is from Ebrahim Poonawala of Bank of America Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Hi, guys. Good afternoon.
Philip Flynn: Welcome back.
Ebrahim Poonawala: Yes. Thank you. With this quick question, I’m sorry if I missed this. You mentioned if your slide in terms of the deposit growth was driven by sort of network transaction deposits.
Philip Flynn: No, we didn’t and it wasn’t. If you look at those tables Ebrahim on page 9, we clearly breakout the growth and you’ll see actually one of the largest categories of growth was [technical difficulty] bearing DDA, so that’s generally corporate customers, some municipal customers but also households, so that was a large piece of it. Obviously overall money market growth was a very big piece of it, but we separately denote [ph] the portion that was down below, like network and deposits and that was less than a quarter of it. So the vast majority of it came from our customers.
Ebrahim Poonawala: Fair enough, and I guess the question I was getting to is, if the network component of it should we view that as probably more, we might miss see some more lumpiness or volatility around those balances, or do you feel as good about the stickiness of those as, as you feel about the rest of the deposit growth?
Philip Flynn: Clearly we assume the network deposits are very price sensitive and they have a high beta. In terms of stickiness, we’ve had some long standing network relationships. There’s a big brokerage firm with a bullhead as a logo and they’ve been [indiscernible] program for more than 15 years, and again I don’t know that there is a slight risk, but they’re going to patch up the price to the market, and so we view those as price sensitive deposits and we treat them as such and we valuate our liquidity keeping that in mind. But from a core deposit perspective which is again the net customer deposits and funding that we break it up on page 9, and we’ve seen better than 8% year-over-year and better than a 6% for the quarter core customer deposit growth which is remarkable.
Ebrahim Poonawala: Fair enough, make sense. And I’m familiar with that bull that you mentioned. But all right, and just a separate question, again I’m sorry if I missed this, but in terms of the swap into Ginnie Mae, is there more to go there or are we kind of where you wanted that portfolio to be?
Philip Flynn: Yes, so you just missed the last question but we’re at 60% now and it’ll probably continue to grow over time to reinvestments and maturities.
Ebrahim Poonawala: Got it. Thank you very much.
Philip Flynn: Thank you.
Operator: Thank you. The next question is from Emlen Harmon of Jefferies. Please go ahead.
Emlen Harmon: Hi. Good evening guys.
Chris Niles: Good evening.
Emlen Harmon: Chris, what earnings impact any should we expect from the shift in liabilities, and just looking to the averages, it seems like that may have been hit late and, may have hit late in the quarter, just I was hoping you could confirm that as well.
Chris Niles: Yes, clearly we see a run up in most deposit categories, certainly our corporate deposits at quarter end, so we see spikes at the end of March, at the end of September and at the end of December and that’s fairly typical. So yes, there’s a bit of an average risk the end points adjustment there. In terms of cost, if you look at our average cost I would say I think we breakdown on our schedules. You can see that the average cost of our short-term funding was call it 21 basis points and most of the deposits that we got were in our money market category which come at 18, so it’ll be pretty marginal. But from our perspective the benefit is, is that -- that means we’ve got another $1.1 billion of freely available borrowing capacity as a better home loan bank to help us fund the next years growth.
Emlen Harmon: Thanks. And then, just any -- it sounds like we’ve got some pending one time expenses related to the branch closures coming here in the fourth quarter, was there anything unusual in the third quarter as well?
Chris Niles: We had three branch closures and some modest expense but less than $1 million during Q3, again we expect $2 million to $3 million during Q4.
Emlen Harmon: Got it. And one last minor one for me, if you don’t mind, the -- just the, the warehouse balance, you guys gave us the average in the deck, what was the shift in that on an end to period basis?
Philip Flynn: Our Chief Credit Officer has that schedule.
Scott Hickey: Thank you.
Emlen Harmon: We’re digging deep, sorry.
Scott Hickey: I’m digging, I’m not sure I do have …
Philip Flynn: I’ll tell you what, why don’t we go to another question and after he finds it we’ll come back on that one, okay. Do you have any other questions?
Emlen Harmon: No, that’s good for me. Thanks guys.
Philip Flynn: Thanks. We’ll take the print out, Scott [indiscernible].
Operator: Thank you. The next question is from Chris McGratty of KBW. Please go ahead.
Christopher McGratty: Hi. Good afternoon, everybody.
Chris Niles: Good afternoon, Chris.
Christopher McGratty: Chris, you made a lot of progress on your loan to deposit taking it from like you said 100 to call it 90. Is this what we should be thinking it settles in kind of heading into ideally a period where rates begin to rise and there maybe risk to industry deposit outflows?
Chris Niles: Yes, the only target we’ve set is to be under a 100. So yes, I think being down in the 90 or low 90s range I think is probably a comfortable place given we’re coming off historic lows and nobody can exactly forecast what's going to happen with deposit flows, right. I think 90 is a good place.
Christopher McGratty: Right. On the margin, with the kind of growing consensus that rates are going to be lower for loan growth to lift off, it’ll be a little bit shallower, is there anything heading into budget season that you maybe contemplating but in terms of the balance sheet strategy whether it means putting on some swaps or the hedges or, is there anything material into next year we should be thinking about to kind of either capture somewhat of the lost income that maybe from lower rates?
Chris Niles: No, I mean look, we have very purposefully kept this balance sheet short. We have made decisions for a long time with that mind. We don’t feel like we control rates. We control what we do control and we work hard on those things. I mean there aren’t a lot of banks that have managed, invest as much as we have and hold our expenses flat like we have. So no, we’re not contemplating going long on the mortgages or any of that kind of stuff, its way too late for that and we’re going to see this through.
Christopher McGratty: Okay, great. And last question, I mean, I missed it. The balance of the securities portfolio, Chris I think you said $6 billion, did you say the dollars was likely just kind of little bit lower than kind of a steady level?
Chris Niles: I didn’t say one way or the other, but we tend to reinvest all of our cash flow and we were pretty thoughtful about deposit inflow levels and so to the extent the deposit inflows continue into Q4, we will probably add the security portfolio to some extent.
Christopher McGratty: Great. Thank you.
Philip Flynn: And we don’t have the answer to the mortgage warehouse number, but it’s something we can provide later if you’re really curious.
Operator: Thank you. And with that we have no further questions in the queue. I’d like to turn the conference back over to Mr. Flynn for any additional remarks.
Philip Flynn: Thanks and thank you everybody for joining us today. As we’ve said, we are pleased with the quarter’s performance. We had record average deposit growth, stabilizing loan margin, lower core expenses. We’re in an industry undergoing transformation driven by technology advances and evolving customer preferences. These pressures and our lower for longer rate outlook require us to be strategic about all the decisions we make. Our three year program to standardize and modernize our branch network as we said is going to be completed this fall. We’ve spent more than $100 million over the past four years, remodeling, relocating and rebuilding our branch network at the same time we’ve aggressively shrunk our branch footprint. We’ve reinvested all of the savings from branch consolidations and a lot more into spending on technology. We believe these decisions will keep associated relevant and thriving into the future. So we look forward to talking with all of you again in January and providing you guidance for 2016. And as always if you have any questions in the meantime give us a call. Thanks again for your interest in Associated.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.